Martin Horgan: Thank you very much, and good morning, everybody, and thank you for joining us today as we run through Centamin's Full Year 2023 results. As mentioned, I'm Martin Horgan, CEO. I'm delighted to be joined today by my colleagues: Ross Jerrard, our CFO; and Michael Stoner, Head of Corporate. Let's move on to the next slide, please, Michael. Disclaimer, I'm sure you'll all read that at your own leisure. And if we just move on to the next slide there about portfolio. We'll get into it. So, really a familiar slide for everyone that knows Centamin. It's our integrated pipeline, a combination of production, development opportunity and exploration sort of potential as well. So delighted with that. Obviously, our flagship Tier 1 Sukari Mine is our foundation asset, our source of cash flow at this stage and really is the driver of business at this point in time. Delighted though with our Doropo gold project which made great strides in 2023, publishing a PFS for that and allowing us to, for the first time have non-Sukari reserves within the broader Centamin Group. ABC project also in Cote d'Ivoire, that's under evaluation right now as an exploration project. And of course, the exciting developments in Egypt around the opening up of the exploration potential of the Eastern Desert with both regulatory and fiscal change and also our early-stage discovery success on the exploration there. So a fantastic portfolio, centered in 2 great geological terrains: the Arabian-Nubian Shield of Egypt which we know is a real focus increasing at this time between Egypt and Saudi Arabia; and, of course, the well-established and prolific Birimian of West Africa. Moving on to our next slide, please, Michael. Looking at our guidance for 2023. Well, look, I think a really good year for us. I'm delighted with the performance. It's our third year of delivering into or better in guidance. And when we look at that from a production perspective, coming in at 450,000 ounces towards the bottom end of that guidance. But I think the context of deciding to take some preventative sort of maintenance at the mill, despite taking that in the third quarter last year, I think that really showcases the -- sort of the flexibility and agility of the management team to respond to that. And I think importantly as well, the -- sort of the contingency and operational flexibility within our plans, we still were able to bring in that production at the bottom end at about 450,000 ounces there, but in line with guidance. And despite that slightly lower-than-planned production number, I think the real highlight of last year, of course, was the cost performance, a significant beat there on AISC. I think that was an excellent result. Ross will take you through the components of that later. And I think that's particularly sort of pleasing and impressive. When we look at the broader context of the mining sector right now in what has been inflationary times across the sector is that we have been consistently taking costs out of our operational base and delivering outperformance there. And of course, if you produce the ounces at the right costs, it did allow us to leverage into and take advantage of what was a stronger cash -- sorry, a stronger gold price environment during 2023. And of course, those ounces at the right cost into a good gold price meant good cash flow delivery as well and lots of benefits of that to our business. And again, Ross will take you through that as well. But again, delighted with the 2023. Really good performance by the team and that third year of delivery for us. Just moving on to the next slide. In terms of our sustainability highlights, I think another excellent year for us. Starting off in terms of our decarbonisation. I think lots of companies talk about decarbonisation plans and strategies. They talk about plans to be implemented. I think one of the things that I'm most proud of at Centamin is that we're actually walking the walk in terms of decarbonisation. It was our first full year of the solar plants operating at Sukari. Over 20 million litres of diesel saved by the use of that solar plant. And of course, when we look at our greenhouse gas emissions, we tend to pronounce a 14% improvement on our 2021 base year as well. This is the beginning of the journey. It's not the end, but delighted to say that we've made some great strides already within that decarbonisation strategy as well. Looking at our talent, which is our workforce in Egypt. I think to me alongside the geology and the ore bodies under our sort of stewardship as well, I think our workforce is one of our second sort of major asset within the business. I'm delighted with our sort of leadership roles within national employees, really looking now to take that sort of core base that we have there and look to put investment into people and their skills and look to upgrade that and of course, look to focus on that nationalization of the workforce as well. So really looking to focus and continue our journey around sort of both employee empowerment and training and upskilling and looking to sort of really sort of nurture that asset that we have there. And finally, on to safety. Those that have the misfortune to hear me talk on a regular basis will know that one of the things I genuinely believe and is that I think safety performance really is a good proxy for management performance. And I think if you have a good safety record, I honestly believe that, that's a real sort of indication of a high-quality management team. I'm delighted with the performance in 2023. In terms of our LTIFR, a really good year again, matching our 2022 numbers in terms of 0.08 LTI per 1 million ounce, and that's an 83% improvement on our 3-year trailing average. And alongside that, which really drove that, of course, is our LTI hours free record. I'm delighted that as of December last year, we actually beat our previous record. And actually, I think those numbers are transpose. Actually, we hit 9.8 million hours, which was the actual achievement against the previous record of 9.5 million hours. So an excellent performance by the site there, just a single LTI, unfortunately, last year across the operation. And I can say that actually, as of yesterday morning, delighted to say that, that record continued. And as we sit here today, sites currently sitting at about 12 million hours at LTI free as well. So that's an absolutely fantastic achievement by the team down there. And if we just move on to the next slide, we'll take a little bit more look at that and how we're focusing on that. Well, I think obviously, it's people and processes that drive -- and culture that drive safety. I'm delighted that over the course of the last 2 years, the team, they're working around international accreditation. And really pleased to see that in the first quarter of this year that we were awarded a ISO 45001 Accreditation around our OHS systems relating to health and safety as well. So I think that's a fantastic effort by the team there. It's a real long journey and a process and commitment to get to there as to how that international recognition, I think, is a fantastic credit to the team down there at Sukari. The challenge, of course, now is to maintain that as we go forward, but I'm sure that they will. In terms of those averages, as you can see there, continued improvement on a 3-year basis and that remains a focus for us. And as I mentioned previously, that LTI 3 hours record is an excellent result and moving through to that 12 million hours as achieved at this stage and looking to focus on that as we go forward. It remains a focus, will do. You can never let up on these things and maintaining that focus of our workforce, leading from the top down is something that will continue into 2024 as well. Just moving on to the next slide now. And in terms of our operational scorecard, this is where we look at sort of the headline numbers of ounces and costs, are all well and good. But what really drove those operationally. I think for us now, what we're seeing within this slide, of course, is, production is all about stability and repeatability. It's about getting new what we need to do today, repeating that tomorrow, next week, next month, year-on-year to make sure we hit that cadence. And of course, the other thing around stability and repeatability is around compliance to plan. We have those long-term plans that we put in place now and making sure that we stick to those long-term plans. We don't get distracted by short-term pressures, that we maintain our focus on delivery, but also within the context of that 5 and 10-year plan as well. So that compliance to plan on a stable and repeatable basis is the real sort of cadence we're at Sukari now. And I think 2023 really starts to evidence that continued success. From an open pit perspective, good progress made, largely flat year-on-year in terms of material moved. In terms of sort of [indiscernible] underground there 129 million tonnes. One thing to note, of course, as we head into this year now, Capital Limited, who have been doing the accelerated waste stripping program for us, that does roll off now middle of this year. We've seen the increased sort of operational flexibility that's given us. It has come at a slightly higher cost while we've grown through that phase. But without rolling off now, we're heading this year back to a more normalized run rate of stripping. On an open pit basis, in terms of ore mined, a big increase on the previous year, largely driven by a significant waste-to-ore conversion, which is positive for us, clearly, in terms of ounces found. That was in a particular sort of remote and sort of rocky -- sorry, a steep terrain area. And that meant grade control drilling is a little bit challenging. And as we mined through that area, the stock of Stage 7 Sukari Hill, we did find more ore than anticipated and hence that outperformance on the ore mined. We don't anticipate that to go forward. We'd like to have stability and predictability, but a bit of an outcome there. Underground. Continued improvement of the underground performance. We made that desire to change from contractor to owner and delighted to see that the progress of the underground performance continued in 2023 with stability in the open pit and the processing, the ability to move towards that 500,000 ounce mark of an annualized production rate, is driven by -- in large part by getting the underground working. I'm delighted to see that the underground ore mined moved up again year-on-year, and that's a 20% improvement as to where we were in 2022 as well. So it's a great work there. All processing 12 million tonnes. Again, pretty much flat year-on-year more or less. And again, particularly pleasing, given that's unplanned, but we think sort of prudent on scheduled maintenance in Q3, but that moves forward. Feed grade steady as it goes, pretty much flat year-on-year. Again, delighted to see in the background that our MRM, our mineral resource management system is working well. And when we think about sort of planned versus actual sort of great performance or our mine call factor, we're seeing much better correlation now in terms of that plus/minus 10% plan versus actually achieved as well. And I think that's, again, a real bonus in terms of planning and execution from there. And from a metallurgical recovery perspective, really been focusing on optimization of that flow sheet and how we operate that and delighted to see that pickup in grade, that extra 0.5% year-over-year. So really, as I say, for me, sort of operational stability, repeatability and consistency, compliance to plan are the watch words. And I think that scorecard there really evidences the ability to deliver into our plans as we move forward. Let me just move on to the next slide. Again, those of you who've had the misfortune to listen to me on a regular basis have probably heard the analogy that one of our Non-Exec Director, Hennie Faul uses, which is, how do you eat an elephant. When you look at the -- sort of the big task of optimizing Sukari, the analogy he uses, how do you eat an elephant, and the answer was piece-by-piece. And I think really, that's what we've done over the last 2 to 3 years is that we've effectively broken sort of the process down into its constituent elements. Focused on those individual elements, look to understand them, to optimize them and maximize their potential. And then when you add those elements back together, you end up producing a significantly better plan on the whole. And I think this chart really, or this table page really nicely sort of then calculates that. Starting at the top left there, we take, for example, the open pit. Primary dig unit productivity, 5% increase in average over 2023. An improvement there. We move 130 million tonnes in the open pit. And if you can get 5% more efficiency out of your digging units, that starts to have some nice impacts both on operability, but also on costs as well. Underground, we talked about the move from owner mining -- to owner mining from contractor mining. A really, really stark, wonderful graph there showing how we've increased the tonnes pull through there, which are going to deliver those additional ounces forward as we get back to 500,000 ounces. And as you can see, of course, the impact on savings that we're making: one, by taking the contract margin out; and two, then producing more tonnes over relatively sort of a smaller sort of U.S. dollar base as well. So really improvement in the underground. Looking at the processing plant is the next sort of step within our process and operations. As you can see, again, really focusing on the optimization of that in terms of reagent use and consumption and a real stark graph there showing how we've been able to focus on that aligned with cost control to drive some real savings in the processing plants. And of course, finally, the solar plants using diesel as a primary source of thermal power generation is obviously expensive and not great from a carbon perspective. And then a really nice example there of how we've taken that diesel out of this stage, sort of the production cycle, save those costs and those carbon there as well. So by focusing on those individual components, that's driving those production increases. That's driving those cost savings, and that's really ensuring that we're getting back to that consistency of operation that we're really striving for. Moving on to the next slide. And really, with a good '23 behind us, that sets us up really nicely for 2024. From a production perspective, stepping up again. Guidance this year of 470,000 to 500,000. We did increase the upper end based on the performance in '23. So firmly remaining on track for this year so far, coming up to 3 months in. From a cash cost and an asset perspective, a fairly broad range on the AISC. We felt that was prudent in terms of the -- that range there, given the potential impact on diesel prices, on our operations. So a fairly broad range, and we'll look to narrow that, obviously, as we had to midyear and have further months behind us in terms of diesel price. CapEx. Final year of sort of, shall we say, big CapEx for us. Of course, our real sort of landmark or exciting project this year is the grid connection, which is progressing well. And that project there has a significant impact in teams of reducing both operating costs and carbon emissions as well. Exploration spend. Again, no letting up in terms of our ability to create value through the drill bit. Obviously looking to complete the Doropo feasibility study and ESIA and get that into permitting and of course, in parallel, pushing on with that the Eastern Desert exploration in Egypt as we look to really try and understand the potential around Sukari and further greenfield. And of course, the maintenance of our commitment to dividends as well with that minimum dividend policy of 30% of free cash flow as well. So I think that 2023 and '22 and '21 before that, that reinvestment program set us up very well for a very strong delivery in '23, and that's given us that confidence as we move into '24 and the step up again as we move forward. So with that, what I'd like to do now is pass over to Ross, and he will take you through the financial review and some more of the detail around the cost performance and the CapEx performance and then maybe hand back to myself and we'll talk through some of the other aspects of the business. But with that, over to you. Thanks, Ross.
Ross Jerrard: Thank you, Martin, and good morning, everyone. I'm delighted to be able to present our financial performance for 2023 and driven by the good operational performance that you've just heard from Martin, I'm very happy that we go straight into our scorecard, which was equally pleasing. Revenue up 13%. More ounces sold at an increased average realized gold price of $19.48 per ounce, resulted in $891 million of revenue. Our EBITDA margin increased by 10% to 45%, driven by both ounces and gold price, but also lower costs. Our overall cost performance was pleasing and something that we will discuss throughout this presentation. Post-tax profits to shareholders of $92 million was also up 27% year-on-year, mostly driven by good operational performance mentioned, but also some catch-up of our outstanding cost recoveries. And this all resulted in a 27% increase in basic earnings per share to USD 0.08 per share. What I'm most pleased about is the fact that we exited 2023 with liquidity of $303 million, which includes $150 million of undrawn revolving credit facility. This was another year of navigating high investment without using that RCF. The result driven by the positive free cash flow generated $49 million. Some 379% increase year-on-year, meaning we exit this reinvestment phase in a very healthy position. So diving into a bit of our financial statement and analysis on the next slide. So whilst our operational delivery and financial metrics were on track, I did want to draw your attention to a few noncash and one-off items. Let me run you through some of these items that primarily drove variance against plan, but I'm opined to highlight that they were noncash items. Looking at our cost of sales line highlighted, there's an additional $51 million of depreciation and amortization, largely driven by our SAP implementation, where a comprehensive review of all our assets resulted in a review of component allocations and useful lives across the whole operation. This resulted in a much more granular componentization at asset level. And you'll see that there's a $14.8 million one-off accelerated depreciation charge against our TSF 1 decommissioning and some old underground equipment. This elevated depreciation level for 2023 is considered on a peak, and we expect this level to decline and probably normalize closer to $180 million per annum run rate going forward. Looking a little bit further down at operating -- other operating costs. There's an increase in the royalties due to the higher gold sales and average realized gold price. But again, there's another $14.5 million of one-off items. There was an increase of one-off advisory fees, and this was driven by the work around our RCF and also our EDX negotiations. But notably, there was a noncash inventory write off and also sudden noncash disposals or scrapping of assets, again, due to that upgrade of our fixed asset register and our SAP implementation. Looking at our non-controlling interest in our disclosures around that with our dividend payment. You can see how the impact of these adjustments have been affected and are affected on our earnings per share, as reflected on the right table on the top end right of this slide, moving from a reported earnings per share of $0.079 per share to an adjusted EPS of $0.105 per share, largely driven through those noncash movements. Talking a bit about our NCI profit and dividend payments and looking at how our result for the year reflected in the NCI at the bottom left-hand side of the page and remembering that where any variation between payments [indiscernible] partners in a particular period based on the company's cash generation and cash sweep and what is ultimately reconciled against audited financial statements, any difference is offset against future distributions. But you'll see that, that $13 million shown at the bottom left is effectively the timing difference of the differences between a cash paid and an ultimate reconciliation. So profit share distributed to both partners in 2023 were ahead of expectations at $112 million each against a profit earned of $102 million, resulting in that closing NCI that you see there of $13 million. In a perfect world and the timings and cash flows and order periods all aligned, this balance would be zero. So arguably, that difference is also accretive to the earnings per share adjustment I just discussed. I must highlight that these accelerated profit share distributions are a benefit [Audio Gap] both partners. And I think it's important that we talk through that in a little bit more detail on the next slide. We have a very stable and transparent and a long-standing flow of funds that whilst quite simplistic in structure, has worked very well since commencement of operations. You'll see on the left-hand side of the slide the construct of the funding and distributions from SGM as our concession agreement. So after a 3% royalty of government -- to government from Sukari and any cost recovery due from that Centamin funded growth projects paid back. Any remaining net proceeds are paid to both partners in a profit share split of 50-50.These distributions all made in U.S. dollars, which is important for the Egyptian government, but has also been important for us. And you'll see on the right-hand side how those distributions were made in 2023. $27 million of royalties to our government partners, $45 million of cost recovery paid back to Centamin and $112 million of profit share paid to both EMRA and ourselves. So the end result of $139 million received by government and $121 million net contribution received by Centamin as a result of also funding $36 million back into those growth projects. This mechanism has worked very well over many years and results in regular distributions and flow of funds in U.S. dollars. On the next slide, you will see that this result -- has really seen a cumulative result that is a benefit to both stakeholders, or all of our stakeholders of almost $1.9 million -- $1.9 billion cumulative distributions being paid. Royalties and government profit share, those gray and gold bars of $248 million and $719 million, respectively. And on our side to our own shareholder distributions of $881 million shown in blue. And Egypt also benefited from all our local procurement spend in 2023, both Sukari and across our exploration programs of USD 631 million. Moving on to talk about our financial strength. 2023 delivered strong operational cash flow, which meant that we were able to fund our commitments and maintain an undrawn balance sheet. You can see on this pie chart that we closed December 2023 with available liquidity of $303 million. Cash and cash equivalents of $93 million, 7,000 ounces of bullion on hand waiting to be shipped, valued at $14 million. Gold and silver sales debtors of $45 million and some derivative instruments valued at $1 million from that gold price protection program. And importantly, $150 million of undrawn revolving credit facility represented in gray, which provides a total liquidity to all of that $303 million. So talking a little bit about our operational improvements and our unit rates, which reflect operational improvements and our productivity gains. Starting with our open pit on the top end left-hand side, costs came down slightly on a unit basis despite a lower total material movement, driven by better fleet productivity, cycle times and other operational initiatives, including the lightweight truck trays and haul road projects. The fuel price has always had a significant impact on the processing costs given our diesel power station and 2023 is first full year of solar power, which coupled with the lower diesel price and our focus on consumable consumption rates when costs were able to decrease year-on-year. Again, being able to keep these costs in check was a credit to the team and you can see that in the processing chart at the bottom left. On the right-hand side, you can see the decrease in the cost profile of the underground. So as Martin mentioned, with -- following the transition from contractor to owner mining, this has had a two-fold benefit of lower costs and increasing productivity, more material bind at a lower cost per tonne. And our G&A represented on the bottom right has also been well managed under challenging global and local inflationary environment as seen on the bottom right with having benefited from the EGP devaluation, but equally countered by local inflation. So what does it all mean in talking to our stringent cost management. You can see the results across our business. We are really focused on the bottom line to counter inflation. And as you see at the top and left chart, the mine production costs have remained stable over 2022 and 2023 in absolute terms. This was very pleasing and considering the pressures that we have all seen across the industry in terms of maintaining costs and managing the dollar spends. The 2023 mine production cost split by cost center in the top right-hand pie chart shows that the majority of our cost pool is spent on processing. This is always our largest component, forming 23% of our cost pool, but has decreased by 14% compared to 2022 due to a decrease in the fuel usage because of those solar savings and also fuel price, but in addition to those reductions in consumable costs like reagents that Martin had mentioned. The next largest component is the open pit costs forming 40% of the total cost pool, and this increase compared to 2022 are due to a lower proportion of costs capitalized, being offset by $0.09 to lead to lower average fuel price. Underground costs up 7%, while finance and administration costs are up 10%. And this is all affected by the EGP devaluation, affecting catering costs, salaries, wages, creating customers and the like. Lastly, that blue graph at the bottom left-hand quadrant shows our all-in sustaining costs in absolute terms against gold produced. You can see the reduction from 2022 to 2023, and we hope to maintain that momentum into 2024. You'll see the split at the bottom right of that $550 million in absolute terms with 75% being mine production costs, 16% sustaining CapEx and 6% administration to 5% royalties. I think it's important to talk about the effect of currency. So moving on to the next slide that talks about our dollar functional business. You can see from these graphs that we are largely U.S. denominated. The devaluation of the Egyptian pound and the lower diesel fuel prices have increased the U.S. dollar portion from 58% to 65% as seen in the black bars. And whilst we've seen a decrease in the EGP fuel component from 24% to 18% as seen in the gold bars. And there's been a marginal decrease in the EGP component other as we continue to see the impact of devaluation, but not to the extent of the parallel rate. So whilst we saw an almost tightening of the Egyptian pound during 2023, we were equally conscious of the high local inflationary environment that we were seeing in the domestic market. But for us, operating our business largely in U.S. dollars, we did not see a material impact, but remain vigilant in terms of monitoring that cost base and the flow-on impact. The recent free float of the Egyptian pound on the 6th of March 2024 was welcome news and is integral into Egypt's fiscal reforms, and we look forward to seeing how this settles over the coming weeks and months. But we certainly think that Egypt is on the right track. Talking a bit more to CapEx. I'm glad to report that the reinvestment program is nearing completion. You can see on the bar chart the reduction in the profile over the coming years. The blue chart, the bars at the bottom are our sustaining CapEx profile and the brick color is the contractor waste-stripping, where we're in the final couple of months and look forward to having that close out in the second quarter. The pink portion is our non-sustaining spend showing mainly grid connection, TSF 2 and some open pit fleet. So what does that all mean? And going back to shareholder returns. I'm delighted to talk to our commitment to these returns as we enter our 10th consecutive year of dividend distribution. Strengthened dividend policy, which was to continue to use group free cash flow generated and applying a 30% minimum priority payment to dividends, but from those cash flows that are calculated before growth project CapEx that would either be funded by debt or surplus cash flows. And thereafter, any surplus cash flows would be assessed against both balance sheet requirements and application against further shareholder returns. So you can see in this table, and looking at the policy on the slide on -- particularly on that right-hand side of the column. You'll see that group free cash flow of $49 million was generated, adding back growth project CapEx that was financed from Treasury of $35 million, generated a cash flow available for dividend pool of $84.7 million, applying our 30% minimum distribution per dividend policy and $25.4 million was allocated to dividends. And then that surplus cash flow that was available was really the discretionary pool to be assessed for further capital allocation on dividends. So there was a Board supplement of $20 million applied to that discretionary pool, resulting in another final dividend of $0.02 per share, resulting in $0.04 per share for the year being declared. So in summary, the Board -- following the Board discussion yesterday, that minimum 30% of free cash flow is calculated and then 36% of the surplus cash flow available rounded to $0.02 per share was taken as part of the final dividend declared. Meaning an overall distribution of 55% of cash flow available was distributed or made available for dividend payments. So just in summary, we have delivered on another year of continued improvements, maintaining a strong balance sheet, following ongoing CapEx and navigating the remainder of the reinvestment program without drawing our RCF. We have delivered on our cost guidance, and then that beat our all-in sustaining cost target through stringent cash management and disciplined capital allocation and we still believe there are lots of opportunities to -- for further improvement. We've generated positive free cash flow through another year of this elevated CapEx, which meant that we have another year of reliable shareholder returns. So overall, a very pleasing result for 2023.And with that, I'll hand back to Martin.
Martin Horgan: Thank you, Ross, for taking us through that. And as you say, a great performance by the team there driving that cash flow, that obviously then sort of funds the rest of our business as we go. Look, we've spoken so far really about the operational performance at Sukari and -- over 2023 and how that compliance to plan and focus on the units delivered that ounce and cost outcome, which drove the cash flow and that third straight year of delivery. Also last year, of course, we announced our new life of mine plan, resulting in sort of the new approach we've taken to assessing the technical Sukari, geology, geotech and so on and so forth. Looking at that reinvestment program where we invested heavily in the likes of solar, paste fill, underground conversion from contractor and so on. And really looking at that sort of bottom-up planning scenario of putting a long-term plan in place, ensuring that's the thing that drives sort of short-term budgets and targets as well. And we're delighted that -- during last year to then announce the outcome of that work with that -- as I said, that new life of mine plan. And really that focused on, I think, the ability to reconfirm Sukari's status as a Tier 1 asset. And really what we have there on this Page 9 in terms of that graph, it really is the culmination of all that work. I think first and foremost we can see that the intention to return Sukari's ounce profile back to that consistency of 500,000 ounces or thereabouts was achieved, or has been achieved with a new plan. So very happy with that. I think as well when we look at that plan, you can see that out of this -- nearly towards the end of this decade, that plan has driven off pretty much entirely a reserve base, and we do have some resource conversion in there towards the later years. And I think it's just important to reflect on that resource conversion. That is predominantly from the underground. And I think when we look at that, that's not just a simple spreadsheet exercise where we assume that we have maybe 30%, 40% of our outstanding underground resource converted and say that it will become a reserve. What we actually do, of course, is we take our geological model and we allow the mine planning software to consider inferred and conceptual material and say that if it were to be proved geologically with further drilling, would they come into the mine plan. So actually, there's quite a bit of engineering and economic analysis with that resource conversion that you see there. And of course, that helps to focus the ongoing rolling exploration program as well. So although that we have a back-ended resource conversion program within there, we've got a high level of confidence that, that will eventually come through. And of course, we still have the ability to extend the resource base further beyond that. And the final thing to note, of course, is that, that plan doesn't include any of the potential that we're starting to see emerge from the EDX portfolio, little bit Sukari and [indiscernible] as well. So delighted with the ounce profile and what underpins that and the further potential in that. And I think that -- the thing that sort of we flagged pretty well that moved back towards 500,000 ounces. But I think the thing that sort of surprised to the upside very nicely was the cost profile. And I think working hard on that. Some of the work that we did as part of that reoptimization exercise really delivered an outsized beat on the planned as it going forward and really seeing that sort of moving where we are now down towards that sort of $1,000 per ounce mark through the sort of middle of the mine life and obviously dipping down quite significantly towards the end as the stripping underground development rolls off. But really very, very happy with that. As I say, really sort of reconfirms and restates Sukari's world-class status into the next decade, and we still think quite a bit more optimization to come around that. But if we move on to the next plan, the thing that I really like about that plan is that -- people have asked us, well, how did you do that? How have you taken the current plan that we're sitting at sort of 450,000 ounces at 1,200 last year? How do you take that 500,000 ounces at 1,000 as we go forward. And the thing I really like about it, actually, it's relatively simple building blocks that we've been able to sort of put these projects together and build on the success we've had to date and deliver that outcome. Obviously, we flagged the grid connection in terms of removing diesel from our thermal power generation mix. That project itself sort of a $46 million CapEx expenditure saving in excess of $40 million at current diesel prices. So a significant chunk out of our operating cost base and of course, delivering into that decarbonisation strategy as well. So a nice, technically simple project, a wonderful IRR, NPV payback on that and a real sort of game changer for us in terms of both the cost base of that as well. In terms of the gravity circuit, we believe that there's a good potential there to improve that metallurgical recovery with some of the free gold that we see both -- predominantly from the underground, having that to build next year. Coming online into 2025, we'll start that at work, seeing a good sort of outcome from that. And of course, the mining itself. And I think the underground expansion has been fairly well flagged. This ability to move the mine from about 1 million tonnes of ore that we moved last year towards 1.4 million tonnes, that obviously is a key driver of increasing the ounce profile. But I think the real sort of surprise, the upside was around the open pit. By focusing on the geotechnical information, by looking -- seeing what that could do, we were able to take about 160 million tonnes of waste out of the open pit design. So at a lazy $2 a tonne. It's actually less than that, but it's a bit early in the morning for the maths. But if we take $2 a tonne of operating cost, over $300 million of cost savings by removing that waste from the life of mine plan. And if that wasn't enough of a win in terms of the geotech input of the redesign of the open pit with that new design of the pit slopes, that allowed us to bring some of the ounces forward as well and actually ounces that would have been sort of brought in later in the mine plan. They were able to be shuffled up the milling schedule and actually display some lower-grade stockpiles that have been in the previous plan as well. So that open pit redesign, ounces forwards, costs down as well. And when we look at that simple sort of redesign of the open pit for waste out and cost down and gold up, we look at the underground expansion. We look at that gravity circuit, look at that grid connection. You put those 4 simple projects together, and that really what drives us back towards that 500,000 ounces at that impressive AISC that we're challenging there as well. I think the other thing that comes through from that plan is that we believe it's a lower risk plan. Lower risk because it's based on much better data. It's lower risk because it's a long-term plan driven by short-term budget. And it's a lower plan because actually, it's based on current performance. We're not having to anticipate significant step changes in productivity or big rates or sort of optimization of routes. The actual underlying assumptions that drive that plan are the operational parameters that we are achieving today at the site as well. So I think we believe that not only is it the great sort of production and economic outcome, we also believe it's more deliverable and a lower risk opportunity as well. So delighted with that as an outcome. And if we step on to the next slide there, as I mentioned at the top end there, is that plan as well really neatly sort of falls in our decarbonisation strategy as well. And as I mentioned before, we've seen recently lots of companies talking about some of their desire pursue decarbonisation plans, what they will do in the second half of the decade, how they will try and get there to 2030. Well, as I say, I'm delighted that at Centamin we've already started that journey and in a significant way. The success of the solar plants, as you've seen, both in terms of cost and decarbonisation is already a great success. The ability to connect that grid and effectively fully displace diesel use for power generation is a significant benefit to us, removes that price volatility of diesel and of course, that decarbonisation, given the fact that grid runs off in part solar and other renewable energies as well. In terms of the solar itself, we are currently looking at a solar expansion. At the moment, we've got about 30 megawatts of installed power AC. Our daily draw is about 50. So at the moment we are -- about 3/5 of our daylight consumption comes from solar, but still 2/5 being drawn currently on diesel, but will be the grid going forward. And the question, of course, is can we expand that solar plant to make it a fully sort of 50 megawatts facility, leaving us to work entirely on solar during daylight hours and then switching to grid during the hours of darkness as well. And I think a relatively technically simple extension expansion of the current solar farm, but again, with significant benefits to us as a business. And of course, a combination of solar, solar expansion grid and the reduction of those waste tonnes out of the life of mine plan puts us firmly on track to meet that 2030 interim target of 30% carbon abatement as well. So delighted with that as an outcome for the business. And as we step on, we're not happy to rest on our laurels. We're always looking to find further opportunity to improve the operations that we manage. We still firmly believe in the potential of the ore body at Sukari. We think that the underground still has known targets that we will convert from resource and bring those into reserve as per that schedule that I showed you earlier. But we also think there's good potential for that resource in the underground to continue to grow, both the long strike into debt. And we have a 3-year rolling plan in place to continue to target that resource and ultimately reserve growth at Sukari. And of course, now more recently, the ability to augment that with the recent discoveries, EDX in and around Sukari as well. We're going to look at dump leach expansion. We've got quite a bit of low-grade material there. Can we bring that forward? Can we handle that once -- bring those ounces to account through the dump leach expansion? We think there's some further optimization in the open pits, relatively minor compared to the big step change we made last year of the new life of mine plan, but we continue to look at those opportunities. I think open pit haulage optimization, I think there's a real opportunity there. We still move the best part of 800 million tonnes of waste as we go forward thinking about how we haul and where we dump that. We think there's some potential dollars from an OpEx perspective on the table there as well. And now with the revised ore schedule go into a mill schedule, let's have a look at the waste and save some dollars there as well. We think there's further optimization in the plants. We look to tweak that, again, looking at our sort of process plant upgrades around reagent consumption and use and improved recoveries and continue to work there. And of course, as I mentioned, that sort of expansion as well. So I think that the current life of mine plan, as we envisaged today, with the knowledge we have at this stage is -- I think that captures 80% to 90% of the value at Sukari, but we still think there are further opportunity. And as we roll into '24 and beyond, we'll continue to refine the processes there and to look at those ounces and look at those cost profiles as well. Moving on. In terms of the Eastern Desert, as I think you're all familiar with this slide now, a ground that we picked up a couple of -- 3 years ago, 2 real strategies, sort of the Nugrus block, which sits around the Sukari concession, as highlighted there in the red rectangle. And really within Nugrus what we would hope to find is a potential satellite feed that could be brought in the -- make use of Sukari infrastructure and then Um Rus and Najd to the north where given the sort of distance from the Sukari mill we would naturally be looking for standalone opportunities as well. We've been pretty busy actively across all 3 of those blocks over the last couple of years. Obviously, we prioritized Nugrus first, given its proximity to Sukari, but have been busy on Um Rus and more recently on Najd, undertaking that first past generative work on large scale sort of verging to range as we've been doing as well. But moving into the next slide. I think one of the big step-forward in 2023 was around the new mining fiscal regulatory regime. Ourselves and our sort of industry partners, Barrick, has spent the last couple of years working with the Ministry of Petroleum. We look after the hard rock sector, looking to bring Egyptian sort of mining and fiscal regulatory regime in line with international standards. I'm delighted that after a fairly sort of engaged and lengthy process that we came to in principle terms with the Ministry of Petroleum during the third quarter of last year, delighted with that. And what we believe we have now is a fair, transparent and balanced sort of regulatory regime and fiscal regime. One of the things that we were very keen as an industry group is to recognize a sort of a win-win partnership with government in line with international standards. That gives mining investors the protections and incentives they need to make long-term decisions, balanced with a fair outcome for the state to make sure that they participate in the exploitation of their natural resources that are effectively state assets or national assets at that stage as well. So delighted with the outcome there. I think we've all seen if that partnership is skewed in one favor over the other, it doesn't work and it leads to sort of imbalanced outcomes. I think we've seen now in the industry very recently. So I think what we have here is a balanced, fair and international standard outcome, so delighted with that. That will move through Parliament now, a slight delay given the presidential elections in December and then the more recent economic sort of reforms in Egypt around foreign investment, but with those 2 steps undertaken now moving forward to get this in place from there as well. And if we move on to the next slide, of course, while this sort of regulatory negotiation was ongoing, given our sort of presence in Egypt, given our confidence in the country and confidence in the outcome, we actually did start work rather than wait for the finalization of the quote. Obviously, we focus on Nugrus first, the area adjacent to Sukari, have been busy over the last 2 years doing that early stage generative work, like sampling, needing to source sampling and mapping and then ultimately, target generation as well. And middle of last year we generated 8 targets within trucking distance of the Sukari mill. And we took an RC rig in there and started a very early stage sort of scout program to start sort of drill testing at those 8 targets. Delighted to say that of the 8 target test, 2 became very interesting in terms of results. As you can see there to the left-hand side of that slide on the diagram, out west of Sukari, little Sukari and the Umm Majal prospects starting to return some pretty interesting widths and grades at both of those targets as well. And then sort of the indication of the levels of mineralization that we're seeing across the widths, that we're seeing fairly shallow deposits that certainly have the potential to further investigation. That could ultimately lead to the generation of resources and ultimately reserves that could augment the Sukari life of mine plan as well. So with that success that we announced in January this year, we've been busy with a follow-up for that. A full program planned in 2024. And the team getting very busy and the intention is to get rigs back on to both of those targets post the holy month of Ramadan and the Eid celebrations of April and really start looking at that infill and extensional drilling around those 2 targets. I would stress that we continue to work in parallel both at Um Rus and Najd blocks to the north. We're not neglecting those. We will continue to try and generate targets there as well. But really, obviously, from a numbers perspective, really looking to focus in on those 2 deposits there and look to update you later in this year as we take those forward. And finally, moving on to Doropo. Obviously, Cote d'Ivoire -- from a West African perspective, I think still one of the more attractive jurisdictions within Cote d'Ivoire, political stability, security stability, and of course, a significant endowment of the Birimian geology. That has been fairly prolific across the country over the last 10, 15 years or so.I think the work we've done over the last few years -- Doropo, to my mind, previously it was a cost center. Lots of dollars going in to generate lots of ounces, but no real direction to the project. And I think over the last couple of 3 years we've put some real focus into that. And that work now is taking Doropo from being a cost center now to a genuine asset that we can take forward. And if we step into the next slide, we'll just have a little look at the outcome of that pre-feasibility that we announced last year as well. So I think, look, as I've said a few times before, in reality, a fairly technically simple project. The geology is relatively simple, sort of shallow, sort of dipping structures of simple geology leading to a multi-pit scenario with the centralized processing facility. Shallow pits, the moderate strip ratio, simple metallurgy into an industry stranded flow sheet and normal grind sizes, giving us good gold recoveries as well. Infrastructure wise, again, fairly simple standard infrastructure with the ability for a national grid connection as well. So I think from a technical perspective, what I see, what I envisage is a technically simple, robust project that doesn't have any material sort of technical challenges around the geology, the mining or the processing as well. I think the art with Doropo is going to be around the environmental and social setting. I think it is a rural area with mixed land use, with local communities dotted through the project area. And therefore, one of the things that we've really focused on over the last couple of years is getting a really good understanding of that environmental and importantly, social baseline. And I think then really importantly for us, making sure that we take that baseline data and we incorporate that into our technical planning around pre-feasibility and ultimately, feasibility. We think by having early identification of potential issues by looking to avoid, minimize, mitigate or potentially ultimately compensate is that when we've got that additional land over there, we end up with a much more robust project from a construction and operational perspective as well. And just looking on to the next slide, really, in terms of that project then that came out of pre-feasibility study. We think it screens very well. It certainly meets our internal metrics in terms of scale, quality. That's sort of a couple of hundred thousand ounces of production in the early years, an excellent sort of ounces, like [indiscernible] 1,000 as well over those early years again. We think our construction CapEx, including contingency of $350 million, that puts us kind of mid-range in terms of CapEx intensity. So we think it's a very real number based on experience elsewhere within the region, our own experience. And we think it's a number that is a business of our scale that we can execute on as well in terms of delivery. So we're really happy with the outcome of the DFS -- sorry, the PFS. And of course, with those outcomes, a sort of 41% IRR on a post-tax basis is that -- when we saw that, that clearly gave us the confidence to move immediately into a feasibility study and associated ESIA. And if we just flip on to the next slide. As we look forward now, that really has been keeping us busy over the second half of this year and into -- sorry, second half of last year into this year. Obviously, we released our updated resources late last year, a very strong sort of upgrade in terms of ounce content between PFS and DFS and that building block. It really gives us the confidence as we've drilled out the ore bodies. They certainly haven't fallen apart quite the opposite. They've improved. And that's a great base then to further both the mining metallurgy and processing work streams alongside that. Broadly at this stage, PFS is -- sorry, DFS is tracking along very similarly to PFS outcomes and from a sustainability perspective, lots of work around the ESIA. I'm delighted to say that the ESIA was submitted recently to the local authorities to start the permitting process and public consultation on that as well. So that now is underway. And I think importantly as well, our community engagement continues. When we look at livelihood restoration programs, one of the experiences we've had previously is that rather than tell people about projects around livelihood restoration, if you can show them by starting early pilot work schemes as well and demonstrate proof of concept, you get great community buy in. And we've certainly been very active on that and had some great success with local community schemes as well. So still on track to deliver that feasibility middle of this year, then on to government application for permits. And of course, in parallel with all that, we've been very busy testing the market around how we can look at funding the project into construction as well. I think fair to say at an early stage of market evaluation and testing, delighted with the response, actually. There's been a very strong level of interest in funding Doropo. I think that's a function of that there's generally a lack of products out there -- for the project financiers out there to look at.I think then with that sort of scarcity within the market, you've actually got a robust project and a good jurisdiction within there, I say, a good sponsoring sentiment. And I think that's led to some very strong appetite to support sentiment around the construction funding as well. So we'll continue to work on that work through the second quarter of this year in parallel with the feasibility submission and the permitting as well. So it's all on track at Doropo. And I think the emergence there, a really nice project with some really robust economics that we'll take to a decision point later this year. So we just now slip on to summary slide and moving on to the sort of the potential of our portfolio. Slightly self-congratulatory slide at this stage. When you pause to look back over the last sort of 4 years of operation -- I joined 5th of April, 2020. So coming up to my 4 year anniversary in the CEO chair. And it's sometimes quite astonishing when you stop and pause and look back about how much work that we've actually achieved over the last 4 years. And I think it's generally led to a sort of complete transformation in the business. It's still the same suite of assets. It's Sukari. It's Doropo and so on. But I think if we look at the business, it's a now fit the purpose Sukari, re-established as a Tier 1 operation, delivering consistently into ounces and costs and strong cash flows with upside to come. I think it's a revitalized, energized West African strategy where with the developing sort of pipeline there of a real asset at Doropo. We've got the upside potential coming through from EDX and the Eastern Desert as well. And we've got a revitalized corporate team, both in terms of the management team, restructuring and sort of upgrade across that, then leading into now the use of available RCF credit facilities and the endorsement of our plans by a bank lender group, leading into this robust position as we head into 2024.So I think the business is the same, but at the same time remarkably different from where we were back in 2020. And I think it gives us a great platform into the future. If you look at 2024, still more to come at grid power connection, the waste stripping to be completed, solar expansion pushing on with EDX and, of course, delivering that Doropo DFS as well. So hugely exciting times and looking forward to that as well. And really then let me slip on to the very last slide, is that when I joined back in 2020, the question was why did you do it, what's your vision for Centamin? Where do you think you can take this business? And I think at that time, we articulated the idea of a reset Sukari as the engine room of a multi-asset, multi-jurisdictional business. And I thought at that stage, to be honest with you, that a reset Sukari would fuel M&A to be able to do that. But I think what I'm delighted about, of course, is that -- with the emergence of Doropo is we can deliver that multi-asset, multi-jurisdictional vision with our own internal projects from our own pipeline and can deliver that organically. And I think that graph there nicely represents where we can take this business over the coming years. And of course, what's not included there is the ability for EDX to leverage into that as well. So I think it's really exciting time. I think we've got some real momentum. We've got the team in place to deliver. We are financially robust, in a good position. And we've got a reset Sukari at the heart of that business driving forward that vision as well. So at that point, I'll pause there. I'm sure you're bored of hearing Ross and I chat. So what I would like to do if that's okay, is that we'll now head over to questions. And Ross and I will be delighted to answer any questions you might have. So operator, if we could open the lines, please and we'll take questions.
Operator: [Operator Instructions] Your first question comes from the line of Marina Calero from RBC Capital Markets.
Marina Calero: I have a question about Doropo. I know you're having the financing discussions at the moment. Given it's a new jurisdiction for you, would you consider bringing another mining group as a partner in the project?
Martin Horgan: Maybe if I fill that one, Ross. So look, it might be a new jurisdiction for Centamin in both e-commerce. But I think when I joined, quite a few of the team I worked with previously came across with me to sort of augment the existing team that we had in place. And I think we've got quite a bit of francophone West African experience now within Centamin. So from a brand logo sentiments associated with Egypt, from a management team experience basis, I think we're quite comfortable in francophone. I'd say comfortable and there I say successful in francophone West Africa. So certainly, from a management perspective, we have no concerns about our ability to operate in Cote d'Ivoire in terms of that environment as well. So I think that's the first thing to say. I think we've got a sense of comfort around operating there. I think then in terms of would we joint venture the asset or go along on that basis? I think the reality is that an asset with a couple of hundred thousand ounces of production profile, a plus/minus 2 million ounce reserve, a couple of hundred thousand ounces a year in the early years, it doesn't to me feel that -- certainly for a business of our scale that if we were to sort of go 50-50 or 60-40 on a partnership with that, the level of scale and applicability to our business doesn't seem to fit. If it was, say, a 300,000, 350,000 ounce project, then would we like to get our hand -- we would we like to be part of something that gave us triple 175,000 million possibly as well. But I've got a couple of hundred thousand ounce asset per annum, sort of having triple 100,000 ounces. I don't think that really moves the scale for us, quite frankly.And I would question that the partners that would come in with us on that basis, what would they bring that we don't already have. We've got the management capacity to execute both the build and the operation. And we've got the financial wherewithal to be able to deliver the project as well. So I don't -- on company wide, I don't feel there's intrinsically risk in place. So I don't see that there's any risk sharing. I don't see there's any sort of capacity benefits of bringing funding or management ability to us. And if you were to sort of split the pie, it doesn't feel like its big enough to make a difference to us if we were to get half of the production as well. So it doesn't jump out to me as an obvious route at this stage. Marina, I'm honest with you. It's something that we do ourselves completely or we don't do. But I can't say as imagining sort of -- some sort of JV approach to it.
Operator: Your next question comes from the line of Daniel Major from UBS.
Daniel Major: A few questions. Yes, first of all, just on the sort of bigger picture to some extent. If we look at the current or a gold price similar to where we are today and look out over the next 2 to 3 years based on your kind of dividend policy, it seems you could comfortably fund Doropo and still have a higher free cash flow yield than the dividend yield, implying you would continue to build cash on the balance sheet. Is debt financing still the primary objective or proportion for Doropo, or in this kind of rate environment does it make more sense to transfer some of that cash from Sukari to fund Doropo if you're generating excess cash flow above paying that sort of -- paying the dividend as such? That's the first question.
Martin Horgan: Sure. So maybe if I take that first one, Dan. No, look, we -- I think you're exactly right. And I think we've banged the drum about capital allocation for the last couple of years. But now with alternative uses for cash flow within the business, whether its optimization or growth of Sukari, EDX, Doropo, is that now -- And of course, the dividend is now we've got genuine sort of competition for capital within the business and how as a group we look to the art of balancing out replacing reserves with growth, adding diversification and scale into the business while maintaining our commitment to the dividend. I think that is at the heart of a number of the discussions that we have both at the management and Board level. So to -- how that applies to Doropo? Look, we're in that discovery phase right now. As you can imagine, there's everything from a sort of very standard vanilla project finance structure at the asset level with then a contribution from sort of corporate treasury for the equity portion. But all the way through to fairly highly levered -- geared -- levels of gearing to sort of almost completely funded off balance sheet that comes, as you imagine, a fairly significant cost through to sort of current RCF hybrid sort of structures as well and how does that interplay there. So I think we're right in the middle of that sort of discovery process of how much is available at what cost to us around Doropo. And then once we've got that sort of discovery process done and looked at the various structures that we could employ. And as all sorts of wonderful very dull things around security and into creditor and all those wonderful things that are, quite frankly, I don't miss from my days in banking. But once we've rounded out capacity available to us at cost and then what structures, then we can look at sort of Sukari cash flows and sort of gold price assumptions. And then we can look at sort of dividend sort of requirements or potential ability to look at that and look to round out that balance. But I think when we're looking at that sort of matrix or that mix effectively, I think one thing that you can definitely take away is that the commitment to the dividend isn't going to go away. I think that's sort of a very strong core belief of the Board there. And the question is, do we trade off dividend versus more equity versus a lower cost of debt and so on and so forth as well. So I think that's kind of the art and the challenge of what will sort of progress over the next 6 months as we look at that. And all of those things will be factored into a decision where we sit down with the Board for an FID later this year, assuming the project stacks up and we get permitted, is yet trading off those different uses of cash between those different sort of allocation potential for it as well. So I think the number -- of one of the big sort of corporate discussions and decision points we're at right now. Little early to give you any clear commentary now because we're still in that discovery process. But be assured that, that sort of capital allocation is at the core of some of those discussion points as well.
Daniel Major: Maybe just to push you slightly on that. I mean, if you use partial debt financing for Doropo, it looks on my numbers that you could certainly significantly exceed the kind of run rate of 30% of free cash flow payout unless you decide to build a bigger and bigger net cash position. Is that the right assessment? So you could pay excess dividends above the 30% comfortably if you put that into the asset? Is that the way to think about it?
Martin Horgan: Yes. Well, yes, and look, the question is how much debt do we put in the asset. Do we more lowly gear Doropo to reduce the financing costs around it, but have a bigger drain on shall we say, group cash position. But it comes a lower gearing and a lower sort of financing charge to Doropo. Do we look to absolutely gear Doropo up to the eyeballs and really sort of put a lot of sort of stress on the cash flows coming out of that. So we don't get as much cash out of Doropo. But it is ring fenced largely from treasury and then give us more access to cash that we can use either for dividends or other alternative uses we might be pushing on with other works at Sukari or EDX and so on as well. So look, I think that in part how -- the risk appetite and the structuring appetite the Board wants to have around -- with a manner of recommendation around that structuring, that will come into it. But there are 2 ends of the spectrum effectively. So absolutely gearing the eyeballs out of it and giving ourselves as much flexibility with the corporate cash flow as we can or taking a much more sort of prudent approach, not putting too much gearing into it, lowering the sort of financial risk profile and financing costs to it. But that would come at a cost of corporate cash flow as well. So I think, look, we need to find out what the battery limits are in terms of those 2 ends of that particular spectrum. And then we need to sit down with the Board and have a look at what we think is coming out of Sukari, what that gives us from a cash flow and where we want to sit on that spectrum of opportunity for Doropo.
Daniel Major: And then a couple of questions for Ross on the financial side. The kind of cost recovery dynamic, minority dividend is somewhat initially complicated, but trying to make it slightly simpler. Can you give us just direct guidance on what you expect cost recovery to be? If I refer to Slide 14 of the presentation, $45 million, this was where the number was last year. Where would you expect that number to be this year?
Ross Jerrard: Dan, so the financing -- we financed slightly less in '23. So that $36 million that went in was slightly lower than we had originally anticipated. And it's just based on project by project. With a power line grid connection we have factored in a bigger number. So that's going to be about $70 million depending on where that -- where those projects sit and particularly where the power line sits in that time horizon. So there's approximately $70 million, potentially up to $80 million that goes in and financed in. And then on a cost recovery coming back, it's about $25 million to $30 million per 6 months that feeds off. So almost a wash in terms of cost recovery being received back out and then financing going back into the project.
Daniel Major: So the cost recovery is $50 million, but the CEY funded projects is going to be like $70 million, is that -- so just to be clear on that?
Ross Jerrard: Yes, it could potentially be a little bit higher. And this is a function of timing in terms of what we've invested, what gets audited comes out and then going in.
Daniel Major: Sorry, it's a little bit higher than this year or?
Ross Jerrard: Yes, this year. Yes.
Daniel Major: And then, just on the minority interest in the P&L and the cash flow statement, seen some differential between the ownership relative to what you recognized. Looking forward, should we just assume that 50% of net income is minority interest relative to the kind of effective economic interest? Is that what we should assume?
Ross Jerrard: Yes, it's 50%. But on the face of the income statement, comprehensive income, you must remember that we consolidate, so it's 50% at the Egypt level. So I'd rather point you to the segment boat and showing the earnings there where you'd have that split. But then on the consolidated level, we're [indiscernible] the distortion is because we pay corporates in West Africa and everything else that's coming out -- so 50%, but in the segment boat.
Daniel Major: And just one final one, if I could. The -- I guess on the CapEx, this differential between gross CapEx and adjusted CapEx, looks like you've made a restatement in -- relative to first half, because you booked -- sustaining elements of waste stripping capitalized was $10 million in the first half and it's only $830 million -- $43 million in the second half. I'm not kind of too worried about the rationale. But looking forward, where do you expect that number to be, the sustaining element of waste stripping capitalized base? Is the difference to real CapEx and what your guided CapEx is?
Ross Jerrard: It's going to drop off. So yes, one, in terms of that adjustment, it's a cumulative approach. So we're truing up our strip ratio as we go through a particular year. So whilst we're booking, we've got a rolling year-to-date true-up that happens. But as we fall out of this non-sustaining and the capital waste strip will end up coming back into our normal sort of, I guess, strip ratio horizon that goes back to a normalized type level.
Daniel Major: So that number will be zero going forward? So we shouldn't expect a meaningful difference between gross CapEx and adjusted CapEx going forward?
Ross Jerrard: No, not immediately.
Operator: [Operator Instructions] And your next question is from the line of Richard Hatch from Berenberg.
Richard Hatch: I've got a couple on the webcast, but I just thought I'd do on the call instead. Just -- Ross, just to clarify, just on the Egyptian pound situation, am I just reading it correctly that the devaluation is broadly offset by the inflation situation? And therefore, it's a bit of a wash, plus it's 10% of your operating cost, so it's fairly small. Is that the correct way to look at it?
Ross Jerrard: That's right in terms of a wash and where we sit. So that's been relatively marginal gain on it, but all things being equal, it's basically a wash.
Richard Hatch: And then the second one is just on -- I mean, we're nearly at the end of the first quarter, right? So I'd just be interested to hear, just -- can you give us any flavor as to how the mines performed first quarter of the year? Should we be expecting any seasonal impacts? Is there anything that we just need to remember just as we go into Q1 reporting season?
Martin Horgan: Thanks, Richard. Maybe if I take that one. No, look, I think obviously, we spoke to you and gave guidance back in January when we reported the Q4 numbers. I think on that call, as I remember, we sort of did signal at that point that there was a broadly sort of 50-50 split between H1 and H2, a slightly sort of second half weighted. But I did flag that sort of Q1 was planned to be a little bit lighter within the overall H1 number and that was around a couple of things. So there was a scheduled reline on the mills. And then also we are putting some fan upgrades into the underground. Some fan chambers look going in and then some ventilation in. So there's going to be a little bit of disruption within Q1.So Q1 was going to be softer than Q4 within the overall sort of balance between H1 and H2 being roughly split, but slightly towards H2 as well. So within that context, we're pretty much where we thought we would be. So Q1 is tracking along in line with plan. So we've got the relines done. The ventilation upgrades are largely in place right now. There's obviously been a little bit of impact on sort of the run rate because of those 2 sort of scheduled projects, but no broadly tracking along where we thought it would be. So yes, you can't draw a straight line. You can't take the number and divide by 4. It's not quite as simple as that. So Q1 was planned to be slightly lighter. And it will be down -- planned to be down on where Q4 number was, but all scheduled because of those project works as well. But no -- but against that strategy, the guys are cracking on with it. And they're doing what we said that we're going to do, which is kind of the cadence that we're at now is that they put plans in front of us and they delivered into an extreme from there. So happy with where we are from a Q1 perspective. And then as I say, maintaining overall sort of annual guidance where we thought we'd be and carrying on from there.
Richard Hatch: I mean I guess Q4 was a strong one just because you had some catch-up from your operational headwinds in Q3, right? So it was always going to be a lighter.
Martin Horgan: Yes, exactly.
Operator: You have a follow-up question from Daniel Major of UBS.
Daniel Major: So I thought there might be a few other questions, but I'll ask my follow-up anyway. Yes, slightly high level one and this is perhaps not a criticism of Centamin per se. But when I look at your medium-term profile of costs declining to $1,000, I can't help seeing parallels with the vast majority of the rest of the companies in the gold industry that have published the same slides for the last 3 years and net costs across the industry have continued to go up. What gives you the confidence that this is not another kind of -- cost is going to come down $300 in 3 years and that gets pushed out further and further like almost every other gold company in the industry?
Martin Horgan: Thanks, Dan. I'll take that one, Ross. Well, look, we're obviously very different, very special, Dan. I mean that's the first thing to point out, of course, is -- but -- no, look, I think -- [indiscernible] say that. Look, I think when we touched on that before, is that if I go back to my consulting days at SRK or my banking days at Barclays, there is that -- these plans would come in and you look at them and you'd see costs going down and production going up, it'll be 5% year-on-year. You sort of say to management, well, how are you going to achieve this 5% year-on-year cost which shows the projects? And they say, well, we've got to work on that yet. But head office has told us we need to reduce cost, so that's in the model. So as I've always been deeply cynical around, as you say, sort of all cost will go down, gold production will go up and 5 years from now we'll be worth more than Google type thing. So I'm kind of always say that as well. So the question is why are we different? Or why don't I believe that's the case here? Well, I think as I mentioned on that slide before, is that within our operating parameters, big rates that shovels productivity in terms of trucks, underground sort of productivity in terms of tonnes moved and so on and so forth is that the plan that we've put on the table is based on the current operational performance we're achieving. So it's not -- we don't say, but we're going to get 10% more efficiency out of our trucks, so we're going to get 5% more efficiency out of this. So we're not sort of playing the game where we're sort of trying to layer in unaccounted for sort of "productivity gain". So the underlying assumptions we used were the ones we're actually achieving that. So that's the first thing to say. I think the second thing there is that the sort of the -- what drives that cost base. The thing I really like about it because I'm a simple mining engineer, is that there's some really simple identified projects. So on the open pit, geo-tech allowed us to make the slopes a bit steeper. That means we have to move less waste rock. So we're taking 160 million tonnes out of the open pit plan, so there's $300 million plus of OpEx savings from the open pit. That allowed us to bring some of those ounces forward as well. So that's nice and easy. Underground, it's a tonnes game. We've got to open up the headings, get the stokes opened and build up from the current 1 million to 1.4 million tonnes of mine from underground to behold there as well. And we've gone from year-on-year increase in the last 3 years as we head towards that as well. So again, it's about sort of pushing on extra equipment, extra headings, move on from there as well. The grid connection, basically plugging into the grid, taking diesel out of our power mix, a big chunk of savings there as well, that gravity circuit. So these are all really simple identified projects and put really simply they take hard dollars out of the cost base. So the total number of dollars that we spend each year is reducing because of the waste, because of the grid connection. And we're getting more ounces out, open pit redesign, underground improvements, gravity circuit as well. So we're dividing a smaller number of dollars by a bigger number of ounces on identified projects using current assumptions as well. So when I stand here and feel comfortable that what's the sort of the risk factor in there, diesel cost. But we're reducing their exposure to diesel by the grid connection and having a lower level of stripping and open pit material moved labor, relatively small part of our sort of cost [indiscernible] reagents, cyanide, grinding media. So we don't have any control over that. But we're looking to optimize our use there. So do I have confidence in those numbers? Look, I think they've built on some very real science and sort of engineering. They're built on some actual sort of -- what we're achieving today at site. And there's actually some very simple projects that drive them rather than sort of ambiguous, will just make 5% improvements as well. So I'm as confident as I can be, but the cynical analyst in you quite right. It says, well, how are you going to do that. But I think we can demonstrate in those building blocks how are we going to deliver those ounces of cost down to come out with that outcome effectively.
Daniel Major: I think it's credible than some of your peers.
Martin Horgan: Well, we'll have a [indiscernible] 3 years from now and then we'll work out whether I was right or wrong.
Operator: There are no further questions on the conference line. I will now hand over to Michael to address written questions submitted via the webcast page.
Michael Stoner: Thank you. We're probably through the call Q&A. We've covered off a number of the items being addressed. But we've got one here on the rebasing of costs. Where we're at in the process and how much more there is to play for referencing the solar build-out and other efficiency drives? Martin, you've just covered off a lot of that. But could you just remind us of kind of long-term where we're looking to take group on the sustaining costs?
Martin Horgan: Yes. So well, if we look at Sukari, that Slide 24, there is a good spot for that. So look, once we've got good connection on gravity in a normalized strip rate shall we say, within the open pit and normalized development in the underground to maintain production, I think that puts Sukari on a standalone basis in and around that sort of $1,000 an ounce as it. Now obviously, you've got corporate G&A to sit on top of that. But generally, that puts us in that sort of $1,000 mark as well. So when I look at the sort of -- the next sort of 6, 7 years through the middle of this decade and towards the start of the next decade, Sukari sits at that sort of level. Clearly, as you get towards the end of the mine life at Sukari, your stripping reduces, your underground development reduces, so you get a big step off down from there. But on the assumption that rolls forward, that's that sort of normalized rate from there. I think as I touched on before, I think the life of mine plans as we see it now probably captures 80%, 90% of the total value of the mine site at this stage. Solar expansion, an extra 20 megawatts of power where we know that 21 million litres of diesel at a sort of $0.90 diesel price, that saves like $18 million a year. Of course -- what will happen, of course, is that the solar expansion won't be working against these, will be working against grid power. So although we'll have some cost savings, it won't be as impactful as when we're displacing diesel, when we're displacing sort of grid power connection, shall we say, on that basis. And some of those other opportunities that we see in there, further reagent optimization, waste hauls dumping as well. It feels like the sort of the total wins there. Is there another 5% to 10% to come out of the cost base? Possibly, if we're able to deliver all those initiatives in there as well. I think it's that sort of level that we're playing for. I don't see that the $1,000 becomes $750, for example, as we go forward. But could the $1,000 dip below [indiscernible] $1000 if we were able to deliver all those cost initiatives. I think that's the sort of thing that we're looking. That's the sort of thing we're playing for here now. That sort of 5% to 10% mark rather than any sort of next step change that would bring a 25% reduction in or 20%, 25% reduction in costs from there.
Michael Stoner: Then, on inflation expectations in Egypt, given the recent currency devaluation, has the currency devaluation yet fully impacted costs on the ground?
Martin Horgan: Look, it's very, very new, isn't it? I mean, it only happened a couple of weeks ago. So I think -- I'm currently in Cairo right now. Look, it's going to take time to flow through to the man on the street in terms of sort of impact on sort of retail prices. So when we look at that, those funds are being used now that are coming to the country to allow the sort of the flow of goods back in to ports, to allow sort of oil and gas companies to be paid and so on and so forth, importation of food stocks. So I think the system is starting to unclog and on glue. That will then naturally sort of see a normalization of sort of day to day activities in the country and with that, that inflation coming out of it as well. So look, 2 or 3 weeks in, far too early to see a material impact. There's certainly a sense of optimism down here. And there I'd say relief from being in a difficult situation. I think the government has pulled [indiscernible] out the hat. They did 3 or 4 deals that they've done. And certainly, I think people are very sort of happy around sort of the first steps along this path to back to sort of economic stability and ultimately prosperity. So I think the sort of the mood music down here is one of relief and excitement. But I think the reality is that sort of -- to the man and woman industry, it's going to be a little while yet before you see that starting -- the benefit starting to flow through to sort of day-to-day inflation. But certainly, it's a much happier place down here on an economic basis. I think there's a sense of relief around the place.
Ross Jerrard: And Martin, just to add in terms of -- from a group perspective, in U.S. dollar terms, those costs aren't inflatingg.
Martin Horgan: Sorry, I was on mute there. No, look, absolutely, Ross. Yes, I think that's right. I think we've seen ourselves that -- sort of the inflationary impressions that we saw on sort of our consumables and inputs over '21 and '22. I think '23 we saw much more stability. We didn't see the rate of change. Certainly, a lot of things didn't go down in price. But we didn't see the rate of change of increase that we've seen previously.
Michael Stoner: Now, referencing the first quarter, we said -- we've mentioned a softer Q1. Does this mean that mining volumes and ore tonnes delivered are down? Or is this on the back of processing volumes being down due to upgrades and maintenance?
Martin Horgan: A very detailed question there. Look, no, I think, obviously, underground, we've improved those [indiscernible] plans and those new [indiscernible] plans. So that obviously has impacted a little bit on underground mining volumes. In terms of open pit, we're scheduled to be in a slightly lower grade area, the top of Stage 7 working through the oxides that sit on top of the old Cleopatra zone, so naturally as part of the mining sequence. We were just in a slightly lower grade area. We had that reline -- scheduled planned reline in the mills as well. So it's just a combination of factors of where we are in the pit. The work going on in the underground, the schedule reline on the mills as well. Just a combination of those 3 things together are what are going to drive that slightly lower ounce profile for Q1.
Michael Stoner: Thank you. Maybe we wrap up there. I think the remaining questions have been covered. But we will double check and go back to any directly, but very conscious we've been going 1.5 hours.
Martin Horgan: Well, thank you, Michael, for that. And thank you, everybody, for listening in. Look, just to reiterate, very happy with '23 performance, operational and financial -- sorry, economic delivery around the asset. That new life of mine plan, excitement at EDX, Doropo progressing nicely and sort of operationally that performance delivered those cash flows that has allowed us to continue to support that dividend payment as well, entering '24 with a sense of momentum and confidence, looking forward to a further step up this year as we head into that from there. So thank you, everybody, for your time as ever. If you've got follow-up questions or comments, feel free to reach out to any one of us here through the usual channels and happy to take offline with you. Otherwise, I wish you all the very best. And thank you and talk to you soon, probably in April when we come up with the Q1 results from there.